Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Wausau Paper 2015 First Quarter Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Perry Grueber. Please go ahead.
Perry Grueber: Thank you, Terry. Good morning, everyone. Thank you for joining us. I’m pleased to be here today with Mike Burandt, Wausau’s Chief Executive Officer; Matt Urmanski, our President and Chief Operating Officer; and Sherri Lemmer, our Chief Financial Officer. We have approximately 15 minutes of prepared remarks this morning, after which we’ll be happy to field any questions you have for us. This call is being webcast and slides have been provided, summarizing key elements of our presentation. Both the presentation deck and today’s release were posted to the Investor Relations site on wausaupaper.com earlier this morning. During this call, we will make forward-looking statements that are subject to known and unknown risks and uncertainties, including but not limited to those outlined and referenced on slide two of this morning’s presentation. Additionally, our presentation refers to certain non-GAAP financial measures to provide insight. A reconciliation of these measures to GAAP is provided in an appendix and again in the Investor Section of wausaupaper.com. I’d like to take just a moment here to welcome sell-side analysts, Anthony Young of Macquarie Securities and Dan Jacome of Sidoti & Company. Both of whom initiated coverage on Wausau Paper earlier this year. And with those formalities out of the way, I’d like to turn the call over to Mike Burandt, Wausau’s Chairman and Chief Executive Officer. Mike?
Michael Burandt: Thanks, Perry. And I also thank all of you for joining us this morning. First of all, let me start by saying, we had a good first quarter. We finished the first quarter with EBITDA of $10.1 million, which is an 80% increase over the first quarter last year and falls within our guidance of $10 million to $11 million. We faced some issues, which were operationally related. These issues, however, were more than offset by favorability in volume, in freight, mix, waste paper pricing, warehousing, and maintenance. Our volume is up almost 7%. Our net sales increased 8.6% to $84.2 million during the quarter and that compares to $77.5 million last year. We reported modest net earnings of $200,000 but that compares to a net loss of $4.4 million in the first quarter of last year. As you know, we announced the addition of some seasoned executives to our management team by adding a new Sales & Marketing Vice President, a Vice President of Innovation, and a Director of Tissue Converting Operations. These three executives bring a wealth of experience and success to our group, adding to our talent and depth of the management team. And this will ensure our continued commitment to profitable growth at Wausau Paper. Now, I’d like to turn it over to Sherri to go through our financial highlights.
Sherri Lemmer: Thank you, Mike. Good morning. As mentioned by Mike, for the first quarter of 2015, net sales were $84.2 million and improved $6.7 million or nearly 9% compared to net sales in the first quarter of 2014 of $77.5 million. The improvement in net sales year-over-year was primarily driven by growth in overall volume of product shipped, which measured in total cases shipped was nearly 7%. Reported earnings per share for the first quarter of 2015 were slightly above breakeven with net earnings of $200,000. On an adjusted basis, which excludes the pre-tax benefit of $3.9 million on a contract related to a former manufacturing facility, the first quarter was a net loss of $2.2 million or $0.04 per share. The net loss in the first quarter of 2014 was $4.4 million or $0.09 per share on both the reported and on adjusted basis. From an EBITDA perspective adjusting for the pretax benefit of the contract noted earlier, we reported results of $10.1 million or 12% adjusted EBITDA margin. This compares favorably to $5.6 million or 7.3% EBITDA margin in the first quarter of 2014. Bridging the first quarter of 2014 to the first quarter of 2015 on an adjusted EBITDA basis, the benefit received from the July 1, 2014 price action was offset by an unfavorable impact of about $1 million, due to the change in the Canadian exchange rate quarter-over-quarter. One improved mix of product shipped added favorably to our EBITDA improvement. As mentioned earlier, sales volume as measured in cases increased quarter-over-quarter above 7% and was driven by growth of over 12% in our strategic products and growth in our support product categories of approximately 2%. Operationally, manufacturing costs related to paper making and converting operations improved approximately $3 million quarter-over-quarter. As expected, improved manufacturing production as compared to the first quarter of 2014 and the results of the implementation of our Margin Enhancement Initiative or MEI, offset by approximately $500,000 of first quarter associated MEI costs drove improvement in all major cost areas including manufacturing, converting operations, and warehousing. Selling, general and administrative expenses were slightly higher than the first quarter of 2014 due to year-over-year increases in incentive compensation, primarily as a result of strong strategic sales growth and improved performance in 2015 compared to 2014. As we discussed, our margin enhancement initiative is driving improved margin through cost improvement initiatives and revenue generating activities. An extension of this work is the benefit received through cash generation as our EBITDA performance improved and efforts focused on areas like inventory and warehouse management reduced the cash tied up in inventory. Also key is the additional discipline instilled in the organization as it revises its understanding of capital requirements, and improves manufacturing and converting efficiencies on existing equipment. All of this becomes possible when multiple disciplines are working together to create opportunity and a new path forward. The result, $5.6 million of cash used in operating and investing activities in the first quarter of 2015, a 60% reduction in cash used compared to the use of $14.1 million in the first quarter of 2014. Our cash balance at March 31, 2015 was $3.7 million. Our total borrowings were $182.2 million, which included $8.5 million borrowed against our revolving line of credit. Net of original issue discount, total debt on the balance sheet at the quarter-end was $179.1 million at a cost of interest of about 6.6%. Historically, the working capital demands of the first and second quarters’ inventory builds and advance of seasonally stronger shipment volume quarters and settlement of year-end obligations on rebate programs and other items created the highest demand for cash. I would expect that with the demonstrated focus on improving EBITDA and spending discipline the June 30 outstanding balance on the revolver will remain similar to March 31. Looking forward, net debt outstanding is expected to decline in the second-half of the year to levels at or below the net amount outstanding at December 31, 2014 of $170.9 million. With that, I will turn the call over to Matt. Matt?
Matthew Urmanski: Thank you, Sherri. Good morning. Today, I’d like to cover in greater detail our performance in the first quarter. Specifically, I’ll cover some comments on our sales growth, the strengthening of our strategic mix, and progress on our margin enhancement initiatives, MEI. I will conclude with the key assumptions for our second quarter. As mentioned - as Sherri mentioned a moment ago, Wausau’s sales volume was up nearly 7% in the first quarter over prior year levels. This trend has been purposeful over the last four years. Our focus on proprietary products and our premium-based substrate ATMOS has led to new product and dispenser offering driving the strong growth you see here today. In terms of shipments, the away-from-home market continues to grow at a steady rate of 1% to 2% annually, so we’re obviously pleased with our significant year-over-year case shipment growth. We’re particularly pleased with the continued success we are having with our premium ATMOS-based strategic products. Growth in our strategic product category was up 12% in the quarter. This is after growing approximately 5% during full-year 2014. As a reminder, strategic products include a 100% of premium product offering in all products sold through proprietary dispensing systems. The key driver of our strategic growth continues to be the market receptivity to our premium brands DublNature launched in mid-2013 and Artisan, we launched a little less than a year ago in May 2014. As we approach the second anniversary of the relaunch of DublNature, we are achieving year-over-year growth rates greater than 25%, that’s a very powerful statement. As we move forward with 2015, we’re going to use these calls to highlight elements of the value creation we are achieving with the MEI program. The MEI process has created an environment in which we examine every element of cost and margin within our company. It challenges and will improve our manufacturing cost, all elements of our supply chain, the handling of dispensers, as well as the product-based improvements in pricing. This morning I’d like to focus on internally produce paper cost, by focusing on energy and water reductions, fiber and yield improvements, and efficiency, to name a few. We have been very effective in driving out cost from our papermaking platform, while improving the quality of paper produced. As the chart on Slide 12 indicates, we achieved marked cost improvements in papermaking at both our Harrodsburg and Middletown facilities. The Middletown facility has seen their costs improve over 8% from 2014. As you will recall, our new paper machine Harrodsburg, Kentucky produces in both the conventional and ATMOS mode. This truly unique capability allows us to manufacture parent rolls for our legacy brand EcoSoft, while producing the conventional mode, as well as the DublNature and Artisan brands while in the ATMOS mode. First quarter cost improvements of 4.5% and 11.2% for conventional and ATMOS production respectively mark strong improvements of already meaningful gains in 2014. With continued growth in our premium products as noted on Slide 12, we expect to ship the mix under the new machine towards even greater ATMOS production levels. I would now like to share some thoughts on our second quarter outlook. We expect the benefits of a July 1, 2014 price announcement to improve overall selling prices modestly in the second quarter. Pressured by the Canadian U.S. exchange rate, we implemented the price increase for our Canadian business effective March 30. Although, the impact of exchange rate will not be fully offset combined with general price increases overall net pricing should rise. Our early read on the quarter from discussion with customers suggest the positive trajectory of our strategic product shipments will continue. The numerous margin enhancement projects we have underway will more than offset the benign fiber cost environment we’re currently experiencing. The second quarter will absorb the cost of schedule maintenance outages at both of our mills. The estimated cost impact in the quarter of these annual outages is approximately $1 million to $1.5 million on an EBITDA basis. Finally, as we discussed our MEI initiatives are gaining momentum. We expect the progress to manifest in each quarter throughout 2015. As a result of all these elements, we expect adjusted second quarter 2015 EBITDA to be in the range of $13 million to $14 million. Similar to our first quarter results issued today, a marked improvements over 2014 second quarter results of $9.9 million. That’s a 31% increase at the low end of our guidance. At this point, I would like to invite Mike to share some thoughts on our full-year outlook for 2015. Mike?
Michael Burandt: Thanks, Matt. I would like to take a look now at some specific elements that will drive our expected full-year performance in 2014. While after June, we don’t anticipate additional price improvement due to the July 2014 price increase. We do expect the Canadian price increase to continue to mitigate the unfavorable currency trend in our non-US sales. On a strategic basis, improving mix and the enhanced margin contribution of our growing premium product business will continue to drive better average net sales price. We expect the tempo of shipment growth to continue particularly as we proceed to the second and third quarters of the year, our seasonally strongest. As Matt indicated the fiber cost environment should be rather benign influence on our full-year profitability. However, from a conservative standpoint, we continue to forecast a modest increase in wastepaper cost. Finally, we expect the impact of our MEI initiative to build throughout the year. Our results thus far give us great confidence in our ability to deliver $18 million of EBITDA improvement this year net of cost. As a result for fiscal 2015 we are introducing today, full-year adjusted EBITDA guidance in the range of $60 million to $63 million. I continue to be extremely confident in Wausau’s ability to deliver the performance that we are out looking. The management team and all the employees of this organization are focused on achieving these objectives. As Matt and Sherri indicated, we are turning the company inside out to find opportunities for cost reduction, for margin improvements, and new revenue sources. And at the same time continue to provide outstanding dedicated and committed service to our customers. As I have said before that MEI is not a destination for us, it’s a journey. We are just getting started. Thank you, and now back to Perry.
Perry Grueber: Thank you, Mike. Terry, would you queue for any questions we might have.
Operator: Thank you. [Operator Instructions] And we’ll to the line of George Staphos with Bank of America. Please go ahead.
Peter Galbo: Hi, guys, good morning. This is actually Peter Galbo on for George. Just first question here, where are you in terms of kind of a run rate improvement for the MEI initiative, if you can quantify that at all?
Matthew Urmanski: We’re essentially six months into our process of delivering MEI and we’ve added great start to that process. We weren’t planning to disclose our run rate, I would essentially say that we’re at and approximately probably more than 50% of that goal at this point.
Peter Galbo: Okay. And then just second question here, I appreciate the color on the exchange rate. But it looks like your EBITDA guidance for 2Q is a bit lower than we’re expecting. Do you kind of have any other operational headwinds that you are foreseeing this quarter?
Matthew Urmanski: The most significant one that I did note within the call here is the maintenance outages. We have a maintenance outage both at our Middletown facility, very standard outage for electrical work. And we also had an outage here just in April on our PM3 machine to the magnitude of $1 million to $1.5 million.
Peter Galbo: That was in April you said?
Matthew Urmanski: The PM3 was in April here at Harrodsburg. And then we have an outage actually we’re conducting right now in Middletown.
Peter Galbo: Okay. And sorry, just last thing, what were the expected impacts on those from an EBITDA perspective.
Matthew Urmanski: The combined two outages their impact on Q2 is approximately $1 million to $1.5 million combined.
Peter Galbo: Got it. Okay, thank you very much, guys.
Operator: Next we’ll go to the line of Dan Jacome with Sidoti & Company. Please go ahead.
Dan Jacome: Thanks for the time. You didn’t call out the support categories, just kind of curious any thoughts there? It looks like that was probably up low single-digits which would be better versus sequentially and then year-over-year, any color there?
Matthew Urmanski: As a focus for our business number one we focus on proprietary systems that place within our business, and creates the most margin for our customers and the most margin for us. Second that focus is ATMOS-based substrate. So those two categories really reflect our strategic product offering which is up significantly double digit in both metrics. Our focus in not necessarily on the support products but it comes along. So we grew that at 2%, very consistent with marketplace and again a combined growth of 7%, when you look at all three areas.
Dan Jacome: Okay, great. And then with the newer product I know I’ve asked this before but I’m just curious on sort of what end markets are you seeing most of the success? I know historically guys have been really strong in education and property management and then not so strong and maybe something like food. Any color - any nuance there would be great.
Matthew Urmanski: All I can give you is just a little bit of a maybe current testimonial. In the last 60 days, we landed a significant grocery store chain not in the retail shelf space, but in their support for their facility. We landed a new stadium, major league stadium that sells to the marketplace. We landed a significant hospital on the East Coast and so I’m very, very pleased. Where we’ve been very strong is where you said, education and property management but we’re getting some very significant wins on the power of the ATMOS-based substrate and the value creation we have in distribution in general.
Dan Jacome: Okay. I will take a testimonial. Was that like a baseball stadium?
Matthew Urmanski: Yes, it was.
Dan Jacome: Okay, interesting. Okay, and then lastly just on parent rolls obviously you’re buying a lot less from the outside market, substantial decline from 2013 to 2014. Do you have any thoughts on how we should think about that for 2015?
Matthew Urmanski: We’ve been in the unique position with the machine to significantly displace parent rolls on the outside. We have hit the trough there and as we continue to grow, we expect to buy more parent rolls on the outside and we have a number of strategic relationships both for towel and tissue that will support us, as we continue to grow.
Dan Jacome: Okay. That’s obviously in our full-year EBITDA guidance, right?
Matthew Urmanski: That’s correct.
Dan Jacome: Thank you very much for your time.
Matthew Urmanski: Thanks, Dan.
Operator: And next we’ll go to the line of Doug Dyer with Heartland Advisors. Please go ahead.
Doug Dyer: Good morning. Can you discuss any changes in your marketing efforts and engagement with distributors in the last year or any changes that you anticipate going forward?
Matthew Urmanski: My initial response it goes back to the previous question. We have been creating some very, very targeted pieces to really look at the marketplace in some of the segments that we traditionally haven’t been as strong to really showcase the DublNature and Artisan products. So we’ve done a piece of that. And then as Mike indicated and I indicated there’s a lot of effort on the margin enhancement initiative and it’s not just a cost approach, it’s a margin approach. We’re looking at our products very specifically and how we tweak those to get even more receptivity in the marketplace with that offering.
Doug Dyer: All right. And also can you talk a little bit about capacity in the space? I’m not talking about capacity from somebody that’s retail like P&G but capacity that would be on the commercial side of it like you are. Do you see additions coming or cuts coming? How do you see that lining up over the next year?
Matthew Urmanski: As you look back at the last three years and certainly the next two years forward the majority of the capacity that’s been announced has been very retail focused. There’s been very little added in the more traditional commercial space. However, the impact that we monitor very, very closely is parent roll availability. And the more parent rolls in general regardless of retail or away from home does put some pressure on parent roll pricing lower, which helps us a bit, because we buy parent rolls, but it also brings a competitive set in there on some non-integrated converters that we monitor closely. So at a high level the capacity has really all retail but it has a little bit of influence on us so we watch it closely.
Doug Dyer: All right. Thank you.
Operator: [Operator Instructions] And at this time I’m showing no questions in the queue.
Perry Grueber: Okay, Terry. Thank you very much. We appreciate everyone taking part in this morning’s discussion and we thank you for your continued support of Wausau Paper. We recognize that it was a busy morning from number of companies releasing overnight. We’ll be releasing our second quarter 2015 earnings, the morning of Thursday, August 6. And we’ll be holding our next schedule Analyst Call that morning at 10 o’clock Eastern. We’d also like to mention that will be attending the Macquarie Institutional Investor Conference in New York on June 11. We look forward to seeing you there. Finally, I will be available the balance for today and rest of the week for any follow-up you might have. Terry?
Operator: Thank you. Ladies and gentlemen, this conference is available for replay starting today 11 o’clock AM going through May 14 at 12 midnight. You may access the AT&T conference replay system at any time by dialing 1-800-475-6701 and entering access code 357659. For international participants the number is 320-365-3844. Again those numbers are 1-800-475-6701 and 1-320-365-3844, within access code of 357659. That does conclude you conference for today. Thank you for using AT&T executive teleconference service. You may now disconnect.